Operator: Good morning, my name is Sharon, and I will be your conference operator today. At this time, I would like to welcome everyone to the Agnico Eagle First Quarter Results 2018 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Sean Boyd, you may begin your conference.
Sean Boyd: Thank you, operator, and good morning, everyone, and welcome to our fourth quarter 2018 conference call. We'd also like to remind those how have an interest in attending our annual general meeting which is this morning as well at 11 AM at the Delta Hotel on Lower Simcoe Street in Toronto. So you are certainly welcome to join us. We have a full room here in our board room in Toronto. A lot of our employees have come in to participate in the annual meeting, so they are looking their best this morning. I'd like to remind everybody there are a couple of slides, small print which is the cautionary language that we put out around production guidance and forward-looking statements, so please take note of that. I'd like to start and just talk a little bit about the strategic direction, of course there's no change. The focus continues to be on transitioning in 2018 into a larger production platform in Nunavut as we continue as well to optimize our existing assets. That will take us to 2 million ounces in 2020 with an ability to grow beyond that. So that remains the focus in the quarter. We continue to generate good cash flow to support the CapEx this year which is a little over $1 billion. We have made very good progress on the Nunavut projects and we'll talk about that which positions us very well. And we've also got some positive drill results from an exploration standpoint with a budget in 2018 of over $150 million. As we said in the start, we've been focused on that transition and in that transition we had a solid quarter this quarter, 390,000 ounces produced, total cash cost of $648 so that was expected. As a result of that we're tracking slightly ahead of our full year production guidance of 1.53 million ounces and we're at the lower end of our full-year cost guidance. Essentially the drop in production that we saw in the quarter from Meadowbank as was expected and also at Lapa as we wind down that asset was offset slightly by increases in production at both LaRonde and Canadian Malartic and we'll talk a little bit about those projects. We are also active adding to our pipeline. In the quarter we closed on the previously announced deal with our partner Humana to acquire the other 50% of the Kirkland Lake property position and also the Hammond Reef property position. So we see that as an important district for us. It’s the type of land package and resource base that we have a track record of creating a lot of value over the past several decades in the company. So we're going to actively explore Kirkland Lake and we're going to continue to update our studies on both, Kirkland Lake and Hammond Reef. And we've also been busy just streamlining our portfolio. As we said the focus continues to be on executing on our growth plan. So we've been out some non-core assets with the sale of our West Pequop and Summit properties to Newmont, our neighbor in Nevada for some cash and they retained [indiscernible] loyalty on the properties and we also announced from a strategic investment portfolio move to sell our position in Belo Sun and we just look at that. And that area is something that doesn’t fit given that we've just brought in some new properties, not just Kirkland Lake, but also Santa Gertrudis in Mexico and we've got an expanding base in Nunavut and we've announced the expansion of the asset in Finland. So we've got enough on our plate and just a matter of helping us increase our financial flexibility in adding some cash and we'll talk about the balance sheet in a minute. As we look at the operating results by mine just as a summary, good cash generation coming up at LaRonde. We mentioned that that was producing more ounces than a year ago in the quarter. Also at Canadian Malartic over $60 million in cash contribution and our Mexican business generated almost $60 million, so good cash being generated across the board throughout the mines. On a per share basis I think that's important because if you look at cash provided by operating activities in total of $208 million which is $0.89 per share. I think that's important because that was driven off of production of 390,000 ounces at total cash cost of $650. So if we look out as we expand our platform in Nunavut, continue to optimize our other assets and expand them where we can, you know we're expecting to see our quarterly production go from a current level of around 390,000 ounces to 500 to 550 ultimately from the current asset base at potentially lower cash cost. So you can see the potential significant impact on cash provided by operating activities with that production and cost level. And I think more importantly, when you think about the ability then to drive per share cash from operations and that's really the key and that's been our focus as we started to understand the potential to grow our output in Nunavut and optimize our other assets, we realized that this was an unique opportunity that we could move those forward in a way where we had the financial resources. We have the technical skill sets. We could keep the share count down and have that additional value being pushed down to a per-share level. So that remains the focus. On the balance sheet on the next page we ended the quarter with $465 million in cash, but just in the first week of Q2 we completed the previously announced or closed on the previously announced debt deal where we added $350 million in cash. So early April our cash position is around $800 million. So we're in excellent shape to continue with the build out of our Nunavut platform and the other expansions that we have announced. Just dealing with the assets in a little bit more detail, LaRonde another extremely strong quarter and 90,000 ounces produced, very low total cash costs of $427 an ounce generating significant operating profit. That came from higher grades in the lower part of the mine. We should see a little bit of a drop in grade as we build through the balance of the year, but we should see increased throughput going through the mine. So we're in a very strong position to achieve our guidance at LaRonde. We continue with the work in the lower part of the mine looking to provide additional production levels over the next several years from around 3.1 kilometers to 3.5 kilometers underground. We have made very good progress at LaRonde Zone 5. We were actually at the sites a couple of weeks ago. We went underground at LaRonde Zone 5. They've made excellent progress there. We're starting to develop the stopes. The pace plant looked great and is being commissioned this quarter. And we also have some additional ounces this year coming out of Lapa. So, I think that's a good example of how we've taken advantage of opportunities that exist in the region and simply leveraging off of existing infrastructure and more importantly existing skills there and that's one of our big competitive advantages. I think it's also important to note that the approach for LaRonde Zone 5 we were patient there. I think we bought that asset off of [indiscernible] 15 years ago for $7 million Canadian. We actually used a bunch of the equipment and moved it to Pinos Altos to get that mine started to keep our CapEx down, but the approach LaRonde Zone 5 very similar to the restart at Goldex. Take a base case that we're comfortable with, get that into production and then sort of leverage off of that new production basin. What we're focused on now is getting LaRonde Zone 5 up. We're actually using it as a bit test case to test some new technology that we hope to apply at LaRonde in a bigger context, but we're also looking that once we get that production base established, there is a sizable resource that exists on that property package and land position. So we've certainly been looking to extend mine life by bringing the additional known and go resources into our mine planning. Canadian Malartic, we made reference to it earlier, record quarterly production, another excellent quarter there, 83,000 ounces, excellent total cash costs of $566 per ounce grade that's over 1.1 grams per ton. Permitting activities are underway for an exploration ramp at Odyssey South in and Malartic. We got a good update on that two weeks ago. There is very good potential there and that's one of the reasons we wanted to get involved with the situation back in 2014 as our geologists and team felt that there was an opportunity to extend the mine life and to may be augment the feed with some higher grade underground ore. So both Humana and Agnico are actively working on various scenarios and we're permitting exploration ramp which will actually is now designed to go into both the Odyssey zone area and the East Malartic zone area. And we should also add that the Barnett expansion is on budget and schedule for commencement in late 2019. So the team is doing an excellent job there. At Goldex production ramp at Deep 1 is ongoing. We continue to optimize that asset. We're looking at potential to accelerate mining activities in the Deep 2 zone. So all of the work there is just to optimize what we've been doing and we've got a potential sweetener in grade in the second half with the South zone which is higher grade which would augment the production and help with our cash cost. At Meadowbank as we said a transition year, year-over-year our throughput in the quarter was down about 10% and grade was down. That was expected. This is the sort of final full year of mining there. As a result our production was down 24,000 ounces which again was expected and a result of the production being down unit costs were up due to the lower production. So we're still tracking our guidance of about 220,000 ounces at Meadowbank as we transition into Amaruq. Update on Amaruq, our permitting activity is most importantly are on schedule. We believe that we will receive the permits in the middle of the year. We do have the project certificate. It was received in March from the Nunavut Impact Review Board. That's an important step. We're just waiting for final approvals to issue us the Whale Tail Water License A. We're still very active there. We've got a ramp going. The road is complete. We continue to do drilling there, but essentially the second half of the year will involve dyke construction and developing the open pit for a start date which is on schedule for Q3 2019. At Meliadine very good construction quarter there. Fortunately, the team did an excellent job in the second half of last year getting prepared for the winter. It was an unusually cold winter and difficult and harsh winter there, but the teams were able to work entirely inside in the process plant and the power plant and in the main service building, so they made excellent progress. Site construction over 60% complete. Procurement is done for the 2018 barge season. The stopes are approximately 90% of them have been delineated for 2018. So good start with underground development making good progress slightly ahead of schedule and we would expect that we can start the commissioning process or the commissioning of the process plant in Q1 2019 and we'll be hosting a site to work in both June and also in September. So no change in the capital cost estimate and no change in the schedule which was advanced in our February release to the second quarter of 2019. At Kittila good production of 48,000 ounces, higher tonnage compensated for lower grades. We do have a plant shutdown in this quarter. It will not impact the guidance that was factored in and we continue to move forward on the expansion project doing some analysis, getting some folks and that will take the production from roughly a run rate of 200,000 ounces to 260,000 to 275,000. In Mexico good production coming out of Pinos Altos, 42,000 ounces, total cash cost 539. The focus there is on advancing the satellite deposits, so similar to what we're doing around LaRonde, the LaRonde Zone 5, we're doing in Mexico. We've known about these deposits for several years. It's time to do some additional work and bring them into the mine plan, taking advantage of skills and infrastructure that are already in place. So we've made good progress on [indiscernible] in Cubiro and we continue to drill another one called Reyna de Plata, so lots of activity around Pinos Altos. Creston Mascota the focus is on transitioning to the Bravo deposit and getting more information on Madrono. So again, satellite opportunities around an existing operation which allows us to generate high rates of return on our investment in and around our current production facilities in Mexico. La India 23,000 ounces. At that site, again we're focused on mine site exploration in and around La India. We've got few small modifications as part of the optimization plan around heap leach process and we expect that to improve our gold production as we move forward. So just to wrap up, I think it's key for us to stay focused on execution, stay focused on keeping our share count down, so we can take advantage of the expected increase in operating cash flow and more importantly net free cash flow because as we said on our February call we see a significant drop in our total capital investment required in this business and we see roughly about 300 million in sustaining and we can see based on a project pipeline which largely includes just extensions of existing infrastructure LaRonde 3, Goldex 2, Kittila, Amaruq underground, these are small CapEx relative to the program that we are in the middle of through 2017 and 2018. So our focus is getting this thing ramped up, getting to 2 million ounces, optimizing from 2 million ounces and also working on things like Kirkland Lake, Odyssey, East Malartic and also take advantage of things that we have in Mexico like Santa Gertrudis, El Barqueño. We're working on another small option La India in Mexico. So keeping it small, going early, using our drilling and mine building expertise to make incremental steps and low risk investments to build cash flow per share. So, I'd like to open it up for questions. Operator?
Operator: [Operator Instructions] Okay we do have a question from David Houghton with CIBC. Please go ahead. Your line is open.
David Houghton: Hi Sean and team, thank you very much for the update. I'm just looking beyond what you've got in your current pipeline which is well in hand and just thinking what your plans could be for the Akasaba deposit near Goldex? How that could be moving forward because it's got some copper in it? And what you're thinking is with Kirkland, I know that early days yet, you've only earmarked $5 million thereabout for exploration, but where you can see that going forward?
Sean Boyd: Yvon will give a little bit of detail Akasaba but it is still in the pipeline, is just going through a permitting process in Quebec. But from the perspective of Kirkland Lake, it's one that we've clearly liked for years. We had an investment in Queenston at one point. We just felt it was a good opportunity for a reasonable price to bring it into the fold, own it a 100% and use our expertise. So we've currently got a drill program of about $5 million planned at Kirkland Lake. We're reviewing that now to see whether we should increase that, but there's multiple targets there as you know Upper Beaver, Upper Canada. Upper Canada has grown in recent years. So as we've said in the last week as we've gathered with our teams ahead of the annual meeting, we'd rather know sooner than later how big it is just for planning purposes, but we should also just tie in our view of spending capital there. We wouldn’t be spending meaningful capital there till after the bit of a platform is expanded in 2019. So we're sort of thinking late 2019 maybe getting started on something there by way of a shaft, but we still need to do a lot of work over the next 12 months to sort of fully define those plans. But I’ll turn it over to Yvon. He can give you some more color.
Yvon Sylvestre: Just briefly on Akasaba. I think the permitting will be completed by the end of the year I would expect the last permit from the federal side in the second half. And at this stage as we go through the life of mine process and budgeting process we'll integrate the project, but the plan is to begin perhaps some work on it next year once all the permits are in. So that that's the plan basically just a the delay of one year. On the Kirkland Lake opportunities…
David Houghton: Just before we move off Akasaba, but if you don't mind, it just intended to be an open pit operation would you have any beneficiation of the ore on-site or would it be direct truck to LaRonde I presume given that you’ve got some base component in it, what's the broader thinking?
Yvon Sylvestre: The plan would be to truck it directly to the go back spell and then ship the copper con for the pros will be pirating copper con in the process at LaRonde.
David Houghton: Okay, thank you and then for Kirkland interested to hear potential for a shaft possibly even next year, I'm just wondering where the center of gravity is as far as you can see and moving forward how you can see that unfold?
Sean Boyd: Yes, there's two ways to approach that and one of the concepts we're looking at is, maybe you go slower a bit and use the LaRonde plant as well, so given its proximity to our operations in Quebec. So we're still working a number of different options.
Yvon Sylvestre: I think we are in a scenario analysis at this stage and we're looking at either a ramp or shaft. These options are going to be looked at within studies over the next six to seven months and we're planning to look at also in that scenario an analysis to look at the synergies of a longer term plan of integrating also Upper Beaver within the Upper Canada within the Upper Beaver story. So probably by the end of the year early in Q1 we will provide some clarity on what's our plan in that respect.
David Houghton: Okay, thank you. I’ll leave it there for now. Thanks.
Operator: [Operator Instructions] Your next question comes from Steven Butler with JMP Securities. Your line is open.
Steven Butler: Good morning guys. A question for you at LaRonde, the guidance for the year I think implied about or gave us about CAD115 per ton Yvon, costs were about CAD155 on the production side or 121 per ton mine site, so maybe just a brief comment if you don't mind about your confidence about getting those cost back towards guidance as you go throughout the year?
Yvon Sylvestre: I think Q1 was a little lower on the total tons produced. Grade was obviously higher, so that affected the cost per ton basis and I think the other aspect is we're going to come back on a budget for the second half of the year. As far as tonnage from the underground operation we're not too concerned about that at this stage and also the base metal component is likely to start progressing also going forward and for the rest of the year the words are getting closer to the guidance, so pretty we're pretty comfortable that the cash cost and cash and all in sustaining cash costs profile will be online.
Steven Butler: Okay, sounds good. Thank you. That's it.
Operator: Next question comes from Carey MacRury with Canaccord Genuity. Your line is open.
Carey MacRury: Hi, good morning guys. Just had a question on East Malartic Odyssey, do you have a potential development timeline in mind on that or is it still too early?
Yvon Sylvestre: At this stage we're thinking perhaps a decision towards the end of the year on the project we're in the final stages of the studies and the permitting process. But likely, we would probably start development early into Q1 and perhaps as early as Q4.
Carey MacRury: And any thinking on how much tons per day can you give color there?
Yvon Sylvestre: No, we're not at that stage. We'll provide more clarity on that as we go through 2019.
Carey MacRury: Okay, great thank you.
Sean Boyd: Yes, one of the things we did do Carey when we were up there a couple of weeks ago we are sort of revealing exploration plans and the guys had some ideas to drill deeper which we encouraged them to do. So the process now is to do some more drilling while we focus on permitting the ramp. And I think what was interesting is that the ramp that they, sort of proposal that they outlined was basically going into both the Odyssey and the East Malartic zones.
Carey MacRury: Is there any technical risks you see at this point there or is it pretty straightforward from a mining perspective?
Yvon Sylvestre: No risk specific at this stage. Obviously, East Malartic is an old operation and we've taken that into consideration as far as the shallow area that we're considering to look at with the current ramp would be far away enough from the existing operations to get away from the mining risk and rock began challenges underground but at this stage there is nothing that really concerns us at this stage.
Carey MacRury: Okay, great. Thanks very much.
Operator: Next question comes from John Bridges with J.P. Morgan. Your line is open.
John Bridges: Morning Sean, everybody. You mention new technology in zone 5 which might be applied to LaRonde later, I just wondered which you are looking at, was this automation or something else?
Sean Boyd: Yes, I think we've purchased a fleet the equipment underground. We were originally looking at going with used equipment certain sectors and we’ve decided that we had the perfect lab setting to test more autonomous equipment both on the loading and then the trucking side. So we're going to use our LaRonde Zone 5 sector to identify how robust this with the LTE [ph] technology, how we could adapt it further as we continue to design mining sequence at LaRonde and we would sort of benchmark that going forward as how we would think perhaps of mining below 3.1 for example.
John Bridges: Okay, safer and fewer people and yes all good.
Sean Boyd: I think the - like on the people side of things I think the, we're trying as you get at depth and a lot of these deposits we're trying to maximize it 24-hours a day. So a lot of the focus at this stage on the automations done is to get the full operating time opportunity, so there's a lot of that involved and the right - trying to rationalize the manpower going forward.
John Bridges: How many hours a day do you lose at the LaRonde at depths because of clearing blasting team?
Sean Boyd: Oh you are probably mugging about eight hours per day, eight hours per shift roughly so...
John Bridges: Yes, I was just wondering between shifts when you blast, anyway and the normal two-hour gap?
Sean Boyd: Correct yes.
John Bridges: Okay, cool. Thank you very much. Good luck.
Sean Boyd: Thank you.
Operator: [Operator Instructions] Next question comes from Mike Perkin with National Bank. Your line is open.
Mike Perkin: Yes, just a follow up on that last comment. In terms of, so you're running kind of like 16 hours of productivity with the autonomous vehicles what would you think you could be running at, would it be closer north of 20?
Sean Boyd: Probably get close to that number yes, it’s a fair assumption.
Mike Perkin: Okay and then a major focus in the market on earnings, is there any major - like you mentioned here for the April period 10-day outage at Kittila, is there any other major area which is at any of your other core assets we should be considered of in your quarterly earnings estimates on a go forward for this year?
Sean Boyd: No.
Mike Perkin: Damn that's easy, all right, that's it from me guys. Thank you.
Sean Boyd: Okay.
Operator: [Operator Instructions] We do not have any questions at this time. I will turn the call over to the presenters.
Sean Boyd: Thank you everyone. Thanks for participating and again a reminder 11 AM Delta Hotel, Annual Meeting. If you can't make it at 11, we’re serving a nice lunch at noon. I'd love to have you over. Thank you.
Operator: This concludes today's conference call. You may now disconnect.